Operator: Good morning, and welcome to the Cracker Barrel Fiscal 2018 Fourth Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Adam Hannon, Manager Investor Relations. Please go ahead.
Adam Hannon: Thanks, Brandon. Good morning. And welcome to Cracker Barrel’s fourth quarter fiscal 2018 conference call and webcast. This morning, we issued a press release announcing our fourth quarter and full fiscal year results and our outlook for the 2018 fiscal year. In this press release and on this call, we will refer to non-GAAP financial measures for the fiscal year adjusted to exclude to impact of the 53rd week that occurred in our fourth quarter and a one-time non-cash reevaluation of the company’s net deferred tax liability that occurred in the second quarter. The company believes that excluding these tax effects from its financial results provides information that may be more indicative of the company’s ongoing operating performance while improving comparability to prior periods. This information is not intended to be considered in isolation or as a substitute for financial information prepared in accordance with GAAP. The last page of the press release includes a reconciliation from the non-GAAP information to the GAAP financials. On the call with me this morning are Cracker Barrel’s President and CEO, Sandy Cochran; Senior Vice President and CFO, Jill Golder; Senior Vice President of Marketing, Don Hoffman; and Vice President and Principal Accounting Officer, Jeff Wilson. Sandy will begin with a review of the business and Jill will review the financials and outlook. We will then open up the call for questions for Sandy, Jill, Don and Jeff. On this call, statements may be made by management of their beliefs and expectations regarding the company’s future operating results or expected future events. These are known as forward-looking statements which involve risks and uncertainties that in many cases are beyond management’s control and may cause actual results to differ materially from expectations. We caution our listeners and readers in considering forward-looking statements and information. Many of the factors that could affect results are summarized in the cautionary description of risks and uncertainties found at the end of the press release and are described in detail in our reports that we filed with or furnished to the SEC. Finally, the information shared on this call is valid as of today’s date and the company undertakes no obligation to update it, except as maybe required under applicable law. I now turn the call over to Cracker Barrel’s President and CEO, Sandy Cochran. Sandy?
Sandy Cochran: Thanks, Adam, and good morning everyone. This morning, we announced fiscal 2018 adjusted per diluted share of $9.23, which includes the benefit of our 53rd week. While we accomplished a lot in fiscal 2018, our performance in the fourth quarter was challenged, as the softer traffic trends we saw in May persisted in June and July, contrary to our expectations, resulting in performance that fell below our expectations. We believe there were a number of factors that contributed to the fourth quarter traffic decline. The primary driver was the underperformance of our Campfire menu and marketing promotion. This was the third consecutive year of the promotion and in an attempt to provide new news and maintain relevance, we introduced several new menu items that unfortunately did not resonate with guests. Additionally our media strategy was not as effective as we had anticipated. Our decision to run fewer weeks of media at higher concentrations, along with other changes to the marketing mix and messaging, did not have the desired impact. In addition we believe that higher gas prices which ate into our gas discretionary income and a lower of number of miles driven in key states compared to last year hurt our fourth quarter traffic. While we believe these issues exacerbated traffic shortfalls in the fourth quarter, we also believe there are other issues which contributed to traffic erosion over both the quarter and the entire year. These include declines in guest experience metrics and a lack of emphasis on our value preposition and on delivering cravable food offerings. We believe that these factors particularly impacted our lighter users who disproportionately visit us during the fourth quarter. Concerned with our traffic trends and over the past few months our team has been rigorously analyzing the underlying factors of our underperformance. I am confident that we have begun addressing the issues and I believe we will drive long-term growth through a heightened focus on the guest experience, food and value along with the continued expansion of our off-premise business. Let me start with the guest experience. Service and hospitality has always been foundational to the Cracker Barrel brand. We continue to believe that it is a differentiator and a strength, but we must do a better job in consistently delivering this experience our guests expect. To achieve this, we are prioritizing a focus on the guests experience to drive traffic in sales. We have been reevaluating the touch points we have with our guests, in order to execute more consistently, particularly at dinner, which has been the most challenged of our day parts. And because we believe firmly that our guest experience begins with our employees, we’re also taking a deeper look at our employee experience. This has been a holistic review and while I am confident that we are taking the right steps, it is going to require steady improvements in a number of areas which will take some time. Next, we’re focused on introducing new and cravable food. Throughout the year we’ll be introducing new items both to our core menu as well as to our seasonal menu promotions, as we seek to satisfy guests' desires for greater variety and cravability. These new items are rooted in what our guests know and love but extended into new offerings. One of the initiatives I'm most excited about is the introduction of bone-in fried chicken to our core menu. Our culinary team has developed a delicious offering a hand breaded four piece half chicken served with two made from scratch sides and a choice of bread that is executable at high volumes. We began testing this last fall in order to understand operational complexities, equipment configurations, and guest perceptions of the product. Based on the positive results from this test we've expedited the rollout of this platform, and approximately 45 stores are currently serving our bone-in fried chicken. We plan to have nearly 170 additional stores serving the offering before the Thanksgiving holiday, and we anticipate completing the rollout by the summer. We believe the bone-in fried chicken exemplifies the cravability our guest desire and that it has the potential to drive increased traffic and sales. We also believe this will be a strong off-premise offering and are looking forward to additional opportunities through line extensions. We're very excited about the fried chicken platform, but the initiative is complex as the platform requires multiple new pieces of kitchen equipment, our timeline's aggressive but we're prioritizing initiatives such as fried chicken that focus on traffic and sales. Another major focus is value. We continue to believe that everyday value is a key differentiator for the Cracker Barrel brand. In the current environment in which there's a heightened focus on value both from our consumer and our competitors, we must do a better job of communicating and reinforcing our value offering. We plan to do this in several ways. First, making value and affordability priorities for our culinary team through all stages of product development for menu promotions, as well as for core menu additions. Second, leveraging our Daily Delights menu platform. As a reminder, we tested this during fiscal 2018 before implementing it system wide in August. We incorporated our fall menu promotion into Daily Delights and supported this promotion with several weeks of national TV media. We believe our Daily Delights platform will help us reinforce our value proposition, particularly in the face of higher gas prices and intense competition around value. Third, refining our communication strategy to focus more on our unique menu items, as well as placing greater emphasis on value and price point messaging. Our next major focus is off-premise. In fiscal 2019, we plan to grow this business by introducing new offerings, increasing our awareness and delivery coverage and improving our processes and execution. I’m excited about several new offerings we will be adding to the catering menu in the first quarter, such as our four layer breakfast bowls, and a chicken and waffle sandwich as we continue to add compelling offerings. Delivery remains a growing segment within our off-premise for the industry, and in fiscal 2019, we’ll be expanding both our third-party and in-house catering delivery platforms. We anticipate having third-party delivery, which has a higher level of appeal to our younger guest base available in over 200 stores by the end of the fiscal year. And we plan to add to our in house catering van fleet so that it covers a large subset of our system. Also, in recent months, we’ve added a catering sales manager in key markets. The early results have been positive as these positions help drive awareness and sales and we’ll be expanding to additional markets over the course of the year. We believe that the expanded fleet of catering vans, coupled with the catering sales managers will help further unlock the B2B catering opportunity. We gained many learnings after rolling out our off-premise platform. And in fiscal 2019, one of our priorities is to simplify and enhance our operations to drive an improved to guest experience. In closing, though our fourth quarter performance fell below expectations we accomplished important foundational work in fiscal 2018. But we must do a better job in driving traffic and delivering a consistent guest experience. The Cracker Barrel brand remains strong and differentiated, and while I am confident that our plans have begun addressing the issues and will drive long-term value creation, our short-term outlook is more cautious, as we believe that we’ll take some time to implement our plans and to reverse the trends in traffic. And with that I’ll turn the call over to Jill.
Jill Golder: Good morning everyone and thank you Sandy. I would like to begin by discussing our financial performance for the fourth quarter of fiscal 2018 and the full fiscal year and then our outlook for the 2019 fiscal year. In this morning's release, we reported fourth quarter net income of $61.4 million or $2.55 per diluted share, compared to prior year earnings per diluted share of $2.23. Adjusted for the impact of the 53rd week in the current year, fourth quarter earnings per share were $2.19. For the full fiscal year, we reported net income of $247.6 million or $10.29 per diluted share representing a 22.9% increase over the prior year EPS of $8.37. When adjusting to reflect our one-time non-cash revaluation of our net deferred tax liability associated with the Tax Act, our adjusted EPS for the fiscal year was $9.23, which includes an estimated $0.36 benefit from the extra week in the fiscal year. Adjusted for the impact of the extra week and the one-time non-cash revaluation of net deferred tax liability that occurred in the second quarter, full fiscal 2018 earnings per share were $8.87. For the fourth quarter, we reported total revenue of $810.9 million, an increase of 9.1%, when compared to prior year revenue of $743.2 million. Restaurant revenue in the quarter was $665.3 million and retail revenue was $145.6 million. Adjusting for the impact of the extra week, our total revenue for the quarter was $752.5 million. On a 52 week basis, our Restaurant revenue increased 0.9% to $616.9 million, and our retail revenue increased 2.8% to a $135.6 million. Our fourth quarter total revenue increase was driven by positive comparable retail sales and the opening of eight new Cracker Barrel locations and three new Holler and Dash locations, since the prior year fourth quarter, partially offset by a decline in Cracker Barrel comparable store restaurant sales. Cracker Barrel comparable store restaurant sales in the quarter decreased 0.4%, as average check increased 3.1% and traffic decreased 3.5%. The increase in average check reflected menu price increases of approximately 2.7% and a favorable menu mix impact of 0.4%. The fourth quarter mix favorability was driven primarily by our Crafted Coffee program. Fourth quarter comparable store retail sales increased 1.3% with increases coming primarily within women’s apparel and books and stationary. Moving on to expenses, total cost of goods sold in the quarter was 30.3% in total revenue versus 29.2% in the prior year quarter. Our restaurant cost of goods sold was 26% of restaurant sales, an 80 basis point increase versus the prior year. This increase was driven primarily by the impact of commodity inflation. On a constant mix basis, our food commodity costs were approximately 5.3% higher in the quarter, than in the prior year quarter, driven primarily by increases in eggs and beef. The fourth quarter commodity inflation was approximately $1 million higher than what we anticipated, when we issued our guidance on the last earnings call, primarily due to higher costs associated with products featured in our seasonal menu promotion. Our retail cost of goods sold was 50.1% of retail sales compared to 48.2% in the prior year quarter. This was primarily a result of an increase in expected markdowns. Our retail inventories at quarter end were a $117.5 million, compared to a $119.4 million at the prior year quarter end. This lower inventory level reflects timing of differences of some of theme [ph] sets. Labor and related expenses were $286.7 million, or 35.4% of revenue, compared with $257.9 million or 34.7% of revenue in the prior year quarter. This 70 basis point increase was driven primarily by unfavorability in restaurant hourly productivity, incremental labor hours to support our off-premise program, and then higher in-store management expenses. Wage inflation for the fourth quarter increased 2.9% over the prior year quarter. Other store operating expenses in the quarter were a $160 million or 19.7% of revenue compared with other store operating expenses of a $148.2 million or 20% of revenue in the prior year quarter. This 30 basis point decrease was driven primarily by favorability in marketing spend compared to the prior year quarter. Store operating income was a $118.2 million in the fourth quarter or 14.6% of revenue compared with store operating income of a $119.7 million, or 16.1% of revenue in the prior year quarter. General and administrative expenses in the quarter were $35.4 million, or 4.4% of revenue compared to $36.5 million in the prior year quarter. As a percent of revenue, G&A was favorable versus the prior year quarter by 50 basis points. This decrease was primarily driven by lower accrued incentive compensation. Operating income was $82.8 million or 10.2% of revenue compared with operating income of $83.2 million or 11.2% of revenue in the prior year quarter. Adjusted for the impact of the extra week, operating income was $71.5 million. Net interest expense for the quarter was $4.3 million compared to $3.6 million in the prior year fourth quarter. Our effective tax rate for the fourth quarter was 21.8% compared to an effective tax rate of 32.4% in the prior year quarter. For the full fiscal year, our effective tax rate was 11.1% compared to an effective tax rate of 32.4% in fiscal 2017. Our capital expenditures for the full fiscal year totaled a $151.6 million compared to a $110.1 million in the prior fiscal year. This increase was driven by new unit openings, our planned initiatives such as Crafted Coffee, off-premise and our new point of sale systems. Our EBITDA for the full fiscal year was $387.2 million, compared to $399.5 million in the prior year. Adjusted for the impact of the extra week, EBITDA was $376 million. In fiscal 2018 we achieved $6.3 million in annual cost reductions, as part of our cost savings initiative. Turning to our balance sheet, we ended the fiscal year with a $114.7 million of cash and equivalents, compared to a $161 million at the prior fiscal year end. During the fiscal year, the company declared regular quarterly dividend payments, which totaled $4.85 per share, and a special dividend payment of $3.75. Our total debt was $400 million at the quarter end. With respect to our fiscal 2019 outlook, everyone should be mindful of the risk and uncertainties associated with this outlook, as described in today’s earnings release and in our reports filed with the SEC. For fiscal 2019 we expect to report earnings per diluted share between $8.95 and $9.10 compared to fiscal 2018 adjusted earnings per share of $8.87. This earnings estimate assumes total revenue of approximately $3.04 billion reflecting anticipated comparable store restaurant sales growth in the range of flat to 1% and comparable store retail sales growth in the range of flat to 1%. Given recent trends, we believe a more cautious approach to fiscal 2019 sales is appropriate. We expect to open eight new Cracker Barrel stores in fiscal 2019. We anticipate our fiscal 2019 menu pricing will be approximately 2%. We expect increased food commodity costs on a constant mix basis to be approximately 2% for the fiscal year with the first quarter seeing even higher levels driven by unfavorability in the eggs category. We have locked in our pricing on approximately 50% of our commodity requirements for fiscal 2019 compared to approximately 40% at this time last year. We anticipate fiscal 2019 retail margins will improve over fiscal 2018 as a percent of sales driven partially by the implementation of a new merchandise strategy which will optimize our use of markdowns. We anticipate fiscal 2019 wage inflation on a constant mix basis of approximately 3% to 3.5%. We expect depreciation expense of approximately $110 million to $115 million for the year. We anticipate net interest expense of approximately $17 million. As we previously announced, we recently entered into a new $950 million credit facility as our current credit facility was set to expire a year from now. We expect an effective tax rate for the fiscal year in the range of 17% to 18%. Taking these assumptions into account, we expect full year operating income margin of approximately 9.3% of total revenue. This guidance includes a target of $10 million to $12 million and business model improvements resulting in sustainable cost savings. While we remain confident in the $40 million cost savings target we shared at our Analysts Day, we now believe that it will take us an additional 1 to 2 years to achieve this target. This is primarily due to updated expectations related to the timing of implementation of our new point of sale system. As a result, the operating margins we targeted for the 3 year period ending in fiscal 2020 are likely to take a few more years as well. We anticipate that capital expenditures for the year will be approximately $160 million to $170 million. The increase in our capital expenditure plans includes costs associated with the acquisition of sites and construction for new stores, as well as additional costs for key initiatives to support our strategic plans. These initiatives include fried chicken, off-premise and our new point of sale system to name a few. We anticipate that our depreciation in fiscal 2019 will be approximately $20 million more than what we incurred in fiscal 2018, which reflects our higher capital investments. This increase along with the impact of more normalized incentive compensation negatively affects our anticipated operating margin by approximately 80 basis points. We remain committed to a balanced approach to capital allocation for the 3-year period of fiscal 2018 to fiscal 2020. We now anticipate that our total capital expenditure will be $450 million to $500 million and that we will open approximately 25 new Cracker Barrel stores. Given the increased capital investments in our initiatives, it may be meaningful for investors to evaluate our performance before the impact of the increased depreciation resulting from the investments by using metrics such as EBITDA. Our guidance implies an increase in fiscal 2019 EBITDA, adjusting for the impact of the extra week of approximately 4% to 5% compared to the prior 52-week year. In considering our disclosure practices, we have decided to cease offering estimates or ranges of quarterly earnings. However, based on the challenges we faced with fourth quarter traffic trends, anticipated higher commodity costs and an increase in first quarter media spend to support our fall menu promotion, we believe our fiscal 2019 first quarter earnings per share will be modestly below the fiscal 2018 first quarter earnings per share. Neither this expectation or full year guidance includes the un-quantified impact of Hurricane Florence. Given the recency of this event we are unable to fully estimate the potential negative impact from traffic and sales loss, as well as expenses that could be incurred such as food waste, damaged to our facilities and support for our employees. And with that, I will turn the call over the operator, so that we can take your questions. Thank you very much.
Operator: Thank you. [Operator Instructions] Our first question comes from Jake Bartlett with SunTrust Robinson Humphrey. Please go ahead.
Jake Barlett: Great, thanks for taking the questions. First, Jill on the margin outlook for 2019, you’re looking for a 40 basis points of deleverage. If you could just walk us through the pushes and the pulls there, it looks like you have some -- the cost cutting should help by maybe 30 to 40 basis points, but then you have 50 to 70 basis points of G&A pressure -- some pressure on labor given the wage inflation that you’re expecting, some roughly flat with commodities, maybe lapping some of the lack of incentive comp in 2018. Maybe, help us understand, why it wouldn’t be more than 40 basis points kind of given those moving pieces?
Jill Golder: Okay, so there is a couple of pieces. So as you look at our reported fiscal year this year, our margin of 9.7% includes 53rd week leverage. So on a 52 week basis the more accurate comparison is 9.5%. And then as we look towards our outlook of approximately 9.3% for overall revenue margins, there is a few things. Three of our largest year-over-year headwinds that we face, are higher depreciation, higher accrued incentive compensation and higher workers compensation. As I mentioned in my prepared remarks, we expect that the higher depreciation and incentive com is approximately 80 basis points. And some of that will be offset by the favorability in our cost savings initiatives that we outlined of approximately $10 million to $12 million. And I guess I would say in addition we have some inefficiencies in fiscal 2018 in some of our underlying productivity measures and we are also assuming some improvement in those areas as well.
Jake Barlett: Is there way you can quantify those inefficiencies, just that’s an important part of the puzzle here, I think?
Jill Golder: Yes, that really it's all built into our 9.3% [indiscernible] guidance.
Jake Barlett: Okay. And then Sandy, looking at the approach for going forward, what you expect to drive results, seeing improved results in 2019 on the topline. If you could talk about the Daily Delights and the Sunrise Specials kind of within that [4.99] [ph] breakfast. It looks like -- I mean this is something you told us about it a year ago and it was kind of it look to be in test for the whole year. How confident are you that is a sufficient kind of value message to break through in this environment, and what was the experience so far in the test in a little over 100 stores, if we had it?
Sandy Cochran: All right, well why don't I start and then I will turn it over to Don. And I can reiterate a couple of the points that I made which is that, one, we continue to believe that everyday value is a key differentiator for the Cracker Barrel brand and that it continues to be a focus for our consumers and that our competitors are very aggressively out there communicating and reinforcing the discounting in theirs. The Daily Delights platform is a way for us to communicate the everyday value on the menu at both Breakfast Sunrise, the sunrise specials, the weekday lunch specials and the country dinner plate at dinner. And but as I mentioned, we are going to seek additional ways to both understand how our guest look at value, what kind of value they look for from us and how we can do a better job of delivering it through our food. So our culinary team is focused on looking at ways to bring new news to both those three platforms as well as other platforms. For example, we're seeing great value scores on our bone-in fried chicken offering the abundance of it. Secondly, although we are leveraging the daily delights platform and Don will speak to in a minute to the testing of it, we and we'll continue to do so, we will look to find other ways to communicate and reinforce the value, both in our communication strategy and our messaging strategy and in our guest experience. So all part of the value equation is the experience you have and the price you pay and we're looking at that holistically trying to get even more emphasis on this. So Don why don't you speak to the Daily Delights in particular.
Don Hoffman: Sure thanks Jill. Yes just for frame of reference we started the Daily Delights test and we spoke to that in our Q1 call for fiscal '18. And the overall premise behind that program was everyday value with customers can count on it 3 specific price points and that thing $4.99, 5.99 and 7.99 respectively for breakfast, lunch and dinner. So we've, we also wanted to use that program to not only call attention to those three price points but to perhaps periodically inject some new news behind those three tiers. And what we've been finding is that the program seems to resonate well, it was, we had some good learning in the first quarter, we ran - we expanded our test in our second quarter to 12 markets from 9 markets we used four weeks and national television to support that and in store merchandising. We started to move a couple of products to our national menu. As an example, we moved our pick 2 combo and 3 cheese, grilled cheese nationwide. And then earlier this year, we put the Daily Delights offering as a permanent offering on our core menu system wide. So now every day that somebody comes in, they will see categories of that 4.99, 5.99, 7.99 called out. And then as Sandy mentioned and you’re probably aware, our current national advertising focuses on everyday value, including some new product news that we put it into lunch and dinner day part including Biscuit pot pie and Biscuit French toast. So I’ll end by saying is just reiterating what Sandy said is a Daily Delights is one of the strategies that we’re using to reinforce everyday value. But we continue to keep value top of mind in product development that we do. And in other offerings and pricing strategies that we use throughout the business model and we are excited about that bone-in fried chicken, because even though when customers have experienced that product, they think it’s bountiful and a very good value for the amount of food they’re getting for the price.
Sandy Cochran: I’m going to make one more point Jake just to highlight Don kind of said it and you might have noticed it that I think our culinary team has done a good job and they continue to work on how to continue this, by bringing new news to the Daily Delights category. So if you noticed in our fall promotion, what we did in both the retail store. And on the promotion was to highlight biscuits, which is something our guests know us for and love us for. And in introducing both with the Biscuit French toast at breakfast, so it’s very attractive price point. And then it lunch and dinner, this biscuit pot pie, is having a great value. And it’s sort of new news in a category that’s tried and true.
Jake Bartlett: Great. Thank you so much.
Operator: Our next question comes from Michael Gallo with CL King. Please go ahead.
Michael Gallo: Good morning. Sandy, couple one question, one follow-up; I think you alluded to in your prepared remarks, some commentary about some softening of overall guests metrics. You’ve obviously done a very good job of managing labor in the current environment. And I was wondering if there’s any concern that perhaps you’ve over managed that line item down and whether you might have to put some back as you think about improved getting those guests scores going in the right direction again? And then I have a follow-up. Thanks.
Sandy Cochran: Well. Yes, you’re right. I did mention it in the Well as, yes you’re right, I did mention it in the remarks. As we analyzed what was happening in the business particularly in the fourth quarter, we did deeper dives into the guest experience and what was happening and we continue to do that. So I won’t say that we don’t think there isn’t some labor component, but what I will say more is we’re looking it every piece of it, that how we are training our employees, how we are communicating to them, how we define the service model. So one of the things that we do at Cracker Barrel is we have something called check back check down, where we’ll often give a table their check early on. We found that, if you are travelling and you’re in a hurry, that sort of allowed you to have the experience that you wanted and you could control. We’re not sure that works at dinner, and in every market and if you are not familiar with the brand, it isn’t necessarily about labor just a practice that we may need to rethink whether that’s delivering the guest experience that people want and that we want to provide. So we are looking holistically at the entire thing. We will look at everything we have done to impact the experience, including the changes that we have made to labor, technology, hiring practices, training practices, communication practices, as we address the issue and continue to -- for this to be a strength, which it has been since the beginning in the brand.
Michael Gallo: That’s helpful context and then a follow-up for Jill. Just your commentary on the first quarter, I think if I look back to the first quarter of 2017 -- excuse me, first quarter of fiscal 2018, you had a 31% or so tax rate. It implied that the guidance is down would seem to imply either a meaningful further deceleration in traffic trends or pretty significant decline in operating margins, sort of back of the envelope, looked like about a 170 basis points. So could you help me with whether we’re thinking about that right, should we think about the sales potentially being and the traffic being softer in Q1 versus Q4 or is it just the laps in some of the commodity or how some of the other stuff close through that might put further pressure on margins? Thanks.
Jill Golder: Michael, thank you for the question. Yes, as I said in my prepared remarks, that we do expect first quarter to be -- to have EPS modestly below prior year. And there is three primary factors, one is the traffic trends that we saw in the fourth quarter. So overall negative traffic trends that we don’t want to comment on kind of inter quarter. And then as I mentioned commodities for next fiscal year -- for the fiscal 2019 we expect to be in the range of 2%, but we expect them to be a bit higher than that in the first quarter, which further pressures margin. And then the other piece of it would be around the incremental depreciation within the quarter as well. And then we have also added incremental marketing spending as Don and Sandy just talked about the national rollout of the Daily Delights program. We’ve supported that with media, which we did not have in the first quarter of last fiscal year. So those are the primary drivers that are putting pressure on the earnings and margins in the first quarter.
Michael Gallo: Okay, good and helpful context. And then maybe one more a follow-up, as you think about the Fried Chicken rollout, obviously you have complexity and you have equipment and so should we think about that is that’ll be a learning curve as you kind of roll that out and get the volumes per store up from a margin standpoint or how should we think about just training and all the complexity around as you put that in more stores.
Jill Golder: Yes, there’ll be a learning curve, there has been a learning curve. We have, as I mentioned, I think have it now in 45 stores, we’ll have it in another 170 before Thanks Giving. Then we’ll take a break from the installation and start again in January, but our operations team and the project team on this I think have done an excellent job of seeking and adjusting to the learnings we have been seeing. We have tried to factor in the learning curve and the inefficiencies inherent in that into the guidance, but anytime you roll something that complex in terms of equipment that’s complex in terms of what it's doing to the menu and where all the trades coming from and how that’s impacting labor and that's complex with the consumer we’re trying to introduce an entire new platform, I think that there is risk associated with it.
Michael Gallo: Thank you.
Operator: Our next question comes from Gregory Francfort with Bank of America. Please go ahead.
Gregory Francfort: Hey guys, I had a couple of quick housekeeping questions and then maybe one or two longer term. First is that on the $10 to $12 million of cost savings, where is that going to show up in -- on the margin side, again, what sort of lines is that labors, is that other OpEx?
Jill Golder: Yes, Greg, this is Jill. So cost savings are primarily in the labor line, I’d say 50% to 60% are in labor about 20% to 25% are in cost to goods sold and then remainder this a little bit in G&A and a little bit in other operating.
Gregory Francfort: Okay, that’s helpful. And then in terms of where you’re running the CapEx now, where do you think the longer term maintenance CapEx for this business and is it below the level that you’re going to see next year and if so how far below as we think about kind of once you get pass these investments like what the CapEx run rate would be?
Jill Golder: Yes, I think at this point beyond the kind of clarity that we gave for 2020, because in my prepared remarks what I said over a fiscal 2018 to 2020, we now expect to spend total capital in the range of $450 million to $500 million, we’re not really prepared to talk beyond 2020.
Gregory Francfort: Okay, got it. And then maybe two sort of longer term pictures. In terms of the POS system that you’re putting in place, what does that allow you to do in terms of like cost savings, I guess you kind of pushed out the cost savings you’re expecting. What does the new POS system basically affect in terms of labor or other OpEx. How does it show up in your business model?
Jill Golder: Okay. So, on the point of sales standpoint, there was a few things that it does on the cost savings and then we believe it will also entails -- on the sales side, but entitle the cost savings. So one other things that it allows us to do is have the tablets, so a server tablets would be part of that, which we believe will help those the guests service experience along with us being able to manage better manage labor and leverage labor. Also we’re looking at a new labor system kind of following that as well as a new food cost management system that we would use with the new point of sale. So those are the big three that help with the cost savings.
Gregory Francfort: And the timing of this now is more just an a year or two later than you were expecting before.
Jill Golder: Yes, we’ve kind of stepped back and looked at our -- the prioritization of our key initiatives and really given our focus on guest service as well as chicken. We have really excited to slowdown the POS a little bit. We also found with the implementation of our point of sale, it required a little bit more training to bring the team up to speed. So right now, we’ve got in the range of 40 stores on the POS and we’ve look to increase that 70 to 80 or so in the current fiscal year.
Gregory Francfort: Okay and then last one for me and then I’ll hop off. The -- just on the special dividend, as you think about that increasing overtime, I mean it seems like you have gone up about $0.25 a year and I think if I look to this year you’re kind of start borrowing meaningfully to pay that. Is that something you’re comfortable doing and how do you approach basically adding debt for dividend payment?
Jill Golder: I guess what I’ve been consistent with what we’ve said in the past, is that as we look at ways to create value for our shareholders, something that we review with the board on a regular basis and the board considers a variety of options. As you have seen in the last several years given our unique circumstances we found the special dividend to be a great way to deliver value to our shareholders and that is something that we’ll continue to talk about with the Board.
Gregory Francfort: Understood. Thanks.
Operator: Our next question comes from Robert Derrington with Telsey Group Advisors. Please go ahead.
Robert Derrington: Yes, thank you. Just a couple of housekeeping items. Excuse me. Jill, on the interest higher interest expense this year. Is that based on a higher effective borrowing rate, or is that based on, combination of both that as well as higher borrowings versus the $400 million you currently have outstanding?
Don Hoffman: The expected increase in interest rates or the expected increase in interest expense is due to an increase in rates. Our swap rates reset at the beginning of the fourth quarter each year. So we're at an effective rate of 3.7 versus previously a 3.2.
Robert Derrington: Okay. All right. That's terrific. On the -- Sandy, looking at directionally as we move through the course of this fiscal year, the company's same-store sales guidance, directionally it sounds like the first part of the years, obviously going to be softer given a number of issues. Does the same-store sales guidance for the company include whatever negative impact that Hurricane Florence has had on the business in the first quarter?
Jill Golder: This is Jill, no, it doesn't just given the recency of the event. It does not include the impact of clients since we're still trying to work through that.
Robert Derrington: Okay. So the guidance are flat up one doesn't include whatever negative impact on the first quarter. And I think directionally, you said that, assumed that the first quarter will be a weaker trend. So directionally I would assume that given that weaker trend and obviously things like the rollout of the bone-in fried chicken, we could expect that, earnings growth and same-store sales growth is going to be heavily leaning towards the back half of the year. Is it reasonable?
Jill Golder: So we're not giving quarterly guidance on the same restaurant sales.
Robert Derrington: Got you. Okay. You'll -- could Jill or Sandy help me understand for a second the -- it sounds like COGS on the retail piece of the business appeared to be I think the outlook is a little bit more favorable and I think it was mentioned that's due to, at some kind of a change in the markup or is the markdown strategy. Can you help us to understand that?
Jill Golder: Sure. So markdown optimization as really the practice, which we were doing, but really only in our collegiate assortments in having different markdown cadences in different stores depending on the inventory levels and our expectations about demand by store. So it really just allows the buying team instead of taking an entire theme for example, chain wide to 50 off, they may be able to start at 50 off and stores for example in North Carolina that are going to have more retail inventory just by virtue of being closed for the last few days. And to take them at a different cadence that involved it was a much more complex process both from the buyers having to think about how to do it and then our systems to support that kind of thing. Overall, though, we believe it will have a meaningful impact on our maintain margin at the end of the year. And we are anticipating which was reflected in the guidance and improvement in retail margins for fiscal 2019.
Robert Derrington: Okay. And kind of directionally thinking about the line items food costs, labor costs, operating expenses. Within those items, it sounds as though directionally the highest pressure would come particularly in operating expense from higher depreciation. Is it reasonable, that labor will only go up a smidge on a as a percent? Given some of the puts and takes in the business?
Jill Golder: So as we talked about in our comments that. So labor inflation is expected to be in the range or wage inflation in the range to 3% and 3.5%. That said, many of our cost savings initiatives are geared towards that line items. So that’s what you’re seeing there, Bob.
Robert Derrington: Okay, terrific. Thanks. I appreciate it.
Jill Golder: Thanks Bob.
Operator: Our next question comes from Stephen Anderson with Maxim Group. Please go ahead.
Stephen Anderson: Yes. Good morning. Just a couple of follow-ups. First of all, I wanted, for second comparison. Just want to see how may store closure days you had with Hurricanes Harvey and Irma last year and then I have a follow-up on those topics.
Sandy Cochran: Okay, so yes with this fiscal year with the Hurricane which was still kind of sorting through, we’ve got approximately five stores remained closed, we had 37 stores that were closed or had some modified hours at some point in time. We’re hopeful that of the five that remain close due to flooding that three will be open later this week by Thursday, but we’re still working through that. And then I do want to say that we’re pleased that we’ve had no reported injuries, some our employees or team members, so we’re glad that everyone is safe there. What we shared last year with Hurricane Harvey and Erma, the negative impact on the same restaurant sales was approximately 30 basis points and then that was $0.07 in EPS in the quarter.
Stephen Anderson: Thank you. And I know no mentioned of Holler and Dash in this report and I saw in the guidance that you do not include any openings for this year, so want to get any kind of update that you can provide for us and whether the reason you’re seeing bring a more trend some growth there?
Sandy Cochran: So, from the beginning our plans were to open a group of alpha stores, if you will in, diverse markets, so both geographical and real estate wise, to validate our assumptions and to get learnings around those business model and the build out potential. So that’s what the team did. I am really proud of what they have accomplished and how the guest have respond to positive leisure the brand. The consumer feedback continues to be strong. Fiscal 2019 than is going to be focused on making adjustments to the model and our processes, based on the learnings before further expansion, so they will be working on the P&L side as well -- and the menu and then when we’re ready we will continue expansion.
Stephen Anderson: All right. Thank you.
Operator: Our next question comes from Jon Tower with Wells Fargo. Please go ahead.
Jon Tower: Great, thanks for taking the question, just a few if I may. First, in terms of thinking about pricing for the year, I know you exited the fourth quarter at 2.7% clip and I know historically when you introduce the new menu which has been March and then sometime on the August, September timeframe that’s when you traditionally taking price. So the 2% that you’ve guided for 2019, and how should we think about that throughout the year?
Jill Golder: So the 2% that we’ve guided to your point, we do we take it two times per year. I think it's going to be we’re just check and I think it should be relatively flat this fiscal year. As you’re looking at overall check, one thing that I would remind you of is our Crafted Coffee which will be wrapping on the rollout of the full rollout of that at the end of April.
Jon Tower: Okay, and then just going to the Fried Chicken tests, I am just curious I know in the prepared remarks there was discussion about it driving traffic and sales. And I am curious you’re able to – whether that’s actually new traffic or if you’re seeing increase frequency of current guests?
Jill Golder: We’re not with only 45 stores in a relatively short timeframe and lots of other things going on in the chain during that time, we’re not able to get a good read at this point on really either traffic or sales, based on consumer research we have got and how it's mixing in those stores that we’re excited about how much both the guest love it and our operators tell us that it is very popular.
Jon Tower: Okay, and then just I might have miss this but on the new credit facility with it expiring a year from now, the yield on expiring year from now, why take up the size of it, I think 950 versus 750 before.
Don Hoffman: Sure, well as you said, the credit facility was set to expire about a year from now. We had the opportunity to increase the size there was size there was a significant amount of interest amount among the participating banks. The rates were good and we decided at that time that we would increase the level.
Jon Tower: Okay, and then just lastly Sandy, I noticed that there was a new employment agreement that struck with you back in late July and then trigger to question I had about succession planning for the company, so if you wouldn’t mid talking about perhaps how the company thinks about succession planning particularly for the CEO role, that’d be great?
Sandy Cochran: So, I can tell your our board is very focused on the issue of executive succession, not only at the CEO level, but across the senior leadership team and they consider the issue of CEO succession at every board meeting, both assessing what internal candidates maybe available as well as thinking about the characteristics they would seek if they chose to look outside the organization.
Jon Tower: Okay, and then I think it said in the agreement something about you having to notify the company a year in advance of moving on, did I read that correctly?
Sandy Cochran: I agreed. As part of that contract that I would provide at least 12 months prior notice. That’s correct.
Jon Tower: Okay, awesome. Thank you very much for the questions.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Sandy Cochran for any closing remarks.
Sandy Cochran: Well thank you all for joining us today. As we look forward to 2019, we plan to build on our brands strength and execute our business initiatives to drive sales growth and achieve sustainable business model improvements. We appreciate your interest and support and thank you for the time this morning.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.